Operator: Greeting, and welcome to Cannae Holdings Fourth Quarter and Full Year 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation.  I would now like to turn the call over to Jamie Lillis, Investor Relations for Cannae Holdings. Please go ahead.
Jamie Lillis: Thank you, operator, and good morning, everyone. We appreciate your participation in our fourth quarter and full year 2018 earnings conference call. Joining me today are Cannae’s President, Brent Bickett; and Chief Financial Officer, Rick Cox. As a reminder, a replay of this call will be available through 11:59 P.M. Eastern Time on March 21, 2019. Before we begin, I would like to remind you that this conference call may contain forward-looking statements that involve a number of risks and uncertainties. Statements that are not historical facts, including statements about our expectations, hopes, intentions or strategies regarding the future are forward-looking statements. Forward-looking statements are based on management’s beliefs as well as assumptions made by and information currently available to management. Because such statements are based on expectations as to future financial and operating results and are not statements of fact, actual results may differ materially from those projected. We undertake no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. The risks and uncertainties, which forward-looking statements are subject to, include, but are not limited to, the risks and other factors detailed in our press release, which was released this morning, and in the statement regarding forward-looking information, risk factors and other sections of Cannae’s Form S-4 and other filings with the SEC. Let me now turn the call over to Brent.
Brent Bickett: Thanks, Jamie. To start, we are pleased with the progress that we have achieved in positioning Cannae for future growth and value creation, as highlighted by the completion of the acquisition of Dun & Bradstreet Corporation on February 8th, 2019, in partnership with Black Knight, Thomas H. Lee Partners and CC Capital Partners. The total purchase price was approximately $7.2 billion and was funded with $4 billion in debt, $1.1 billion in preferred stock, and $2.1 billion in equity. At closing, Cannae invested $500 million in equity, representing a 24.5% equity interest in Dun & Bradstreet. To fund our equity contribution, we borrowed a $150 million from our $300 million margin loan facility, drew down $100 million from our revolver, and used $250 million of cash on hand. At closing, our Chairman, Bill Foley, was appointed Executive Chairman of Dun & Bradstreet's Board of Directors and he is overseeing three near-term initiatives to reorganize DNB, and position it to drive long term value to its customers, employees, and its new shareholders. The first initiative is to strengthen DNB's leadership team and we are already well under way with Bill being appointed Executive Chairman; Anthony Jabbour as CEO; Steve Daffron as President; and Kevin Coop as Chief Revenue Officer. Anthony and Steve are evaluating internal executive talent and are actively recruiting external executives with a focus on implementing a new organizational structure, designed around general managers to ensure accountability and P&L responsibility for DNB's major business segments. The second initiative is to reduce DNB's cost structure. We have identified a broad range of expenses and redundancies that can be eliminated. And as discussed previously, we are targeting approximately $200 million of achievable cost savings. We'll move quickly to improve DMB's margins. The third initiative is to reinvigorate DMB sales force, enhance product delivery and bring to market new product capabilities. Dun and Bradstreet is a global leader in business insights and unmatched data and products. We have see an opportunity to improve how DMB goes to market, how they align their sales force and how they sell their products. While this may take several quarters to accomplish, we believe it will deliver a marked acceleration to revenue growth over the coming years. The operational expertise that Cannae and our investment partners are providing to Dun and Bradstreet is a key aspect of the company's turnaround, as the initial assessment phase, organizational, realignment and implementation of cost saving initiatives are now under way. Today, Cannae is comprised of four primary businesses which include Dun and Bradstreet, Ceridian, our Restaurant Group and T-System. With respect to Ceridian, we made the decision to prudently rebalance our portfolio by selling 4.4 million CDAY shares for $152.5 million in the fourth quarter. These proceeds were used to partially fund the DMB investment. Cannae currently owns $32.7 million CDAY shares, representing a 23.7% ownership stake, now worth $1.62 billion based upon CDAY's closing price of $49.67 on March 13th, 2019. Over time, we expect to monetize our CDAY position with a nearer term objective of repaying the $250 million of borrowings, Cannae incurred to fund the DMB investment and raising additional holding company cash. Turning to our Restaurant Group, ABRH's management team continues to implement a range of initiatives designed to reduce expenses while increasing productivity, customer satisfaction and ultimately cash flow. Within these initiatives, we are also rationalizing underperforming stores, particularly at the O'Charley's and Bakers Square brands, while seeking to convert certain of our Village Inn markets to a franchise model, which would generate cash and drive higher royalty based fee income. The ABRH management team will continue to rationalize portfolio with a focus on our stronger location and brands, reduce expenses, then invest in the customer experience to deliver customer satisfaction and brand relevance. We are also pleased to complete a restructuring of the Restaurant Group on November 6th, whereby Cannae now beneficially owns 65.4% of ABRH on a direct basis and 88.5% of 99 Holdings on a direct and indirect basis. Ninety Nine remains a standout performer in the Restaurant Group, as it continues to outperform the market and generate strong free cash flow. These attributes, when combined with Cannae's increased ownership percentage, provides additional optionality to create value for our shareholders. Turning to T-System, the Company is comprised of two segments. The first is our clinical documentation segment, which offers a full suite of software solutions, providing clinical staff full workflow operations that drive documentation completeness and revenue. The second is their coding software and outsource solutions segment, which provides a full service outsource coding solution as well as a cloud based SaaS solution for self-service coding. Bob Wilhelm, who joined T-System as CEO in the third quarter of 2018, has completed a strategic review designed to provide a roadmap for actionable initiatives to improve sales, efficiencies and growth, as well as operational efficiencies in both the documentation and coding divisions. Bob is realigning the management structure of the Company and actively recruiting additional executive talent in order to position the Company to build long term sustainable growth and selectively be able to acquire and integrate tuck-in acquisition targets. As Rick will discuss in greater detail, application of ASC 606 for revenue recognition, while having no impact on cash flow has reduced the amount of revenue and EBITDA T-System can recognize from its documentation business, principally related to software contracts sold to our hospital system customers. We expect 2019 to be a transitional year for T-System, as the management team implements the organizational changes and makes incremental investments in personnel and product development to position the business for sustainable growth in subsequent years. I'll now turn the call over to Rick to review the financial results of our portfolio companies in greater detail.
Rick Cox : Thanks, Brent. To start off, Ceridian, which includes both Cloud and Bureau solutions, generated fourth quarter revenue of $200.3 million, which represents a 9.8% increase from the fourth quarter of 2017. Fourth quarter adjusted EBITDA increased 22.2% to $43.5 million, as compared to the year ago quarter. In the 2018 fourth quarter cloud-based revenues, which include both Dayforce and Powerpay grew 27.5% to a $148.3 million, as compared to $116.3 million in the year ago quarter. In total, 3,718 customers are now live on the Dayforce platform, up from 3,001 at the end of the fourth quarter of 2017. More detail on Ceridian's fourth quarter financial results, which were released on February 6th, can be found on the Investor Relations section of their website. Turning to our Restaurant Group, American Blue Ribbon Holdings generated total revenue of $298.5 million in the fourth quarter of 2018, flat as compared to the fourth quarter of 2017. Legendary Baking's third quarter revenues were up 18.1% or $6 million above the year ago quarter. This increase was offset by $6 million decline in the restaurant sales, largely the result of the closure of 21 underperforming restaurants, which decreased revenues by $5.1 million. Our Ninety Nine brand continues to outperform within the Restaurant Group, delivering same-store sales growth of 2.5% during the quarter and with Bakers Square producing same-store sales growth of 0.3%. This strong performance was offset by O'Charley's, which declined by 2.4% and Village Inn, which declined by 1.2%. Of note, Ninety Nine same-store sales results outperformed the Black Box regional index same-store sales increase of 1.7%, while O'Charley's underperformed the Black box national index, same store sales increase of 1.3% and Village Inn and Bakers Square underperformed the NPD midscale family index, same-store sales has decline of 1.8%. ABRH delivery of fourth quarter EBITDA loss of $43.8 million, which compares to EBITDA of $1 million in the fourth quarter of 2017. The fourth quarter 2018 EBITDA loss of $43.8 million included non-cash charges of $26.7 million, $14.8 million and $13.6 million related to the impairment of goodwill, a facilitation fee paid to Cannae and the impairment of fixed assets. The management team at ABRH is in the midst of a strategic overhaul, which is designed to improve profitability. While 2018 has been a year of significant changes, in 2019, we are already beginning to see the benefits from our efforts as we move toward our goal of achieving long-term profit growth and drive increases in same-store sales and guest counts. Lastly, Ninety Nine closed on a new bank credit facility on December 21st, the proceeds of which were used to repay Cannae's remaining $33 million of debt at Ninety Nine. For the fourth quarter of 2018, T-System total revenue adjusted for ASC 606 was $13.6 million compared to $15.3 million under ASC 605. The Company generated fourth quarter EBITDA of $2.6 million, which is reflected in EBITDA margin of 19.1% compared to $4.3 million of EBITDA or 28.1% under ASC 605. For the fourth quarter of 2018, on a pre-ASC 606 basis, T-Systems organic revenue growth remained relatively flat year-over-year for both businesses, with an underlying increase in the mix of offshore coding helping to improve coding gross margins by 500 basis points. As we highlighted last quarter, we are having no impact on cash receipts, implementation of ASC 606 has produced greater volatility in revenue recognition for T-System's Documentation segment. The delay in scheduling our earnings release and call and ultimately the filing of our Form 10-K resulted from continuing review and refinement of our accounting for T-System's revenue recognition under ASC 606. On November 16th, 2018, Cannae completed the sale of 4.4 million shares of Ceridian common stock as part of the secondary public offering. The offering priced at $36 per share, with Cannae receiving $34.70 per share after underwriting discounts with proceeds of $152.5 million. At December 31, 2018, Cannae's book value was $1.125 billion or $15.58 per share as compared to $1.06 billion or $14.95 per share at December 31st, 2017. We ended the fourth quarter of 2018 with $308.2 million in holding company cash, which is up from $148 million as of December 31, 2017. In February, we used $250 million of cash on hand to partially fund our purchase of DNB and currently have approximately $65 million of cash on balance sheet. To conclude, we are pleased with progress that we are making and positioning Cannae to continue to drive long term value for our shareholders. I'll now turn the call back to the operator to begin our question and answer session.
Operator: Thank you. [Operator Instructions]. Our first question is from Nick Johnson with Piper Jaffray. Please proceed.
Nick Johnson : Hi there. Thank you for taking my questions. I just want to start with the cost synergies of DNB, if there is an update there, I know it's been pretty new in the process. But just any update on the $200 million on cost savings and how they're coming along versus expectations?
Brent Bickett : Sure, Nick. Thanks for the call, this is Brent. So as you -- we had a fair amount of time to prepare for the closing. We brought Steve on board, our new President, back late last in the fourth quarter. So, and he's been onsite up in Short Hills since late December, early January. And so, he and Anthony and the rest of our team -- and the rest of our partners have done a lot of proprietary work to properly identify those areas of cost saving and the staging of getting those things out. Approximately 65% of the savings would be in people over a period of time, and that's usually, would be kind of a first year thing to try to right size the shift, get your team in place, and get the organization pointed in the right direction. So those have all been identified and we're very confident on our ability to get the $200 million.
Nick Johnson : Okay, the 65% is from the people in the first year, how about the other 35% and timing?
Brent Bickett : Candidly, it's going to be pretty quick. I'd say we should be on a run rate of that by the end of the first year.
Nick Johnson : All right, that's very helpful. Thank you. And with the cost savings coming through, do you anticipate there being any impact on revenue?
Brent Bickett : So Anthony and Steve, one of the first things they've done, they've hosted town halls for the employee constituents. They've also gone on roadshows, both domestically and internationally to meet with our major customers. And then that -- and you are right, that is the trick to make sure that we don't disrupt the revenue, yet take the cost out, and then even further, start making sure the organization is realigned with a more effective go-to-market strategy. And then candidly also identify areas where we might need some M&A help potentially on any product gaps or technology gaps. So all those things are going on right now with the Company. But the objective is, is to hold the revenue. We think we can do it and still take out the costs.
Nick Johnson : Great. And then you kind of mentioned it, but just how are things going with the management at DNB, the relationship with Anthony and Steve?
Brent Bickett : Well, Bill is Executive Chairman of the Company. So -- and that was important for us to make sure as the largest single investor, that we had the ability to have good management control. Because we've done this before and four other very large acquisitions to be able to properly take out costs, install new management, hold onto revenue and then reposition the Company for growth. So we're kind of taking the same script that we've done several times in the past and we have -- we think we have the right leadership team to do it. The most important thing, candidly is the organizational design they had was very inefficient and ineffective, and we're trying to change that to be accountable and transparent. And also their culture there, as we observed it, it was -- it was accepting the mediocrity and that we're trying to change it and to become a winning team. And not surprisingly as we -- we did remove most of the senior leadership team at closing, as we brought in the new team. And on the positive side, we are finding some terrific talent inside that organization that's looking for a way to be successful. Everybody wants to be a winner. So, it's well under way. We would expect by next quarter to have a little bit more detailed update to give you and -- with Steve's commentary.
Nick Johnson : Okay. Thanks for that. And then lastly from me, in regards to T-Systems, thank you for giving the organic revenue number. And then is there any update on the M&A strategy for T-Systems?
Brent Bickett : Your first -- Nick, your first question was organic -- on organic revenue number?
Nick Johnson : Well, I think I got that. You said it's flat -- about flat year-over-year, correct?
Brent Bickett : Yes, on a -- certainly on an ASC 605 basis. As Rick said it is extremely complicated on this ASC 606 and as you might know, other companies that are in the software business, particularly that sell on premises are having some of the same issues. Yes, on a -- from what we've looked out before under the 605 rev rec, it was relatively flat. I'd point out, though, that the coding side, which had about $8 million on a 605 basis of revenue, which is relatively flat, they moved one of their large customers from an outsource solution to a SaaS. So the revenue was probably down a $0.5 million, but because the software business is so -- the margins are very profitable, our profitability actually went up. So they -- the coding side probably had organic revenue growth, all told, just around 10%, if on an apples-to-apples basis.
Nick Johnson : Okay, that's helpful. And then in terms M&A strategy, any update there?
Brent Bickett : So, as I mentioned, Bob has done his strategic review of the Company and as people that have done a lot of M&A on our side of the fence and he agrees, we're waiting to make sure that the team is ready to do this distraction of what M&A is. So we are still waiting. We have a pipeline. We've been working with Triple Tree. We have it identified. Largely it's going to be in the coding side and the revenue cycle management side of the business. We have a pipeline. We're candidly just making sure that we have a team that's going to be able to not only run their current business effectively, but also successfully integrate an acquisition, understanding from our experience how distracting that is. So we have a pipeline. We are -- it's probably, candidly more second half '19 that we start executing against it.
Operator: Ladies and gentlemen, you've reached the end of our question-and-answer session. I would like to turn the call back over to management for closing remarks.
Brent Bickett : Thank you for your time today and we look forward to speaking with you next quarter.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time, and thank you for your participation.